Operator: Good day. My name is Latif, and I will be your operator today. At this time, I would like to welcome everyone to The Kraft Heinz Company's Second Quarter 2016 Earnings Conference Call. I will now turn the call over to Chris Jakubik, Head of Global Investor Relations. Mr. Jakubik, you may begin.
Christopher M. Jakubik - Vice President-Investor Relations, Kraft Foods Group, Inc.: Hello, everyone, and thanks for joining our business update for the second quarter of 2016. With me today are Bernardo Hees, our CEO; Paulo Basílio, our CFO; and George Zoghbi, the Chief Operating Officer of our U.S. commercial business. During our remarks, we'll make some forward-looking statements that are based on how we see things today. Actual results may differ due to risks and uncertainties, and these are discussed in our press release and our filings with the SEC. We'll also discuss some non-GAAP financial measures during the call today. These non-GAAP financial measures should not be considered a replacement for and should be read together with GAAP results. You can find the GAAP to non-GAAP reconciliations within our earnings release and at the back of the slide presentation available on our website. Now, let's turn to slide two, and I'll hand it over to Bernardo.
Bernardo Vieira Hees - Chief Executive Officer: Thank you, Chris, and good afternoon, everyone. For much of today's call we'll concentrate on second quarter numbers. I think it's good to start by providing an update to the progress we have to bring Kraft and Heinz together over the past year. Let's return to the three objectives of our strategy which were laid out at the beginning of our merger. First, deliver profitable sales growth. Second, achieve and maintain best-in-class margins. And third, capture a superior return of capital as an investment-grade company. On our last call I said that we're off to a good start. Good. Not great. And I think that's how I should describe the first half of the year as well. It's true when you look at our top line performance and our progress in delivering profitable sales growth. The investments we have made in our global sauces franchise continued to improve category growth or market share gains in United States, Canada and Europe. It's also the primary driver of the nearly 9% organic sales growth in our Rest of the World segment during the first six months of 2016. Our Big Bets investments and whitespace initiatives are starting to gain traction in markets around the globe and we have more to talk about in the second half. George will talk about our performance in the West, including the impact of our Mac & Cheese renovation. Outside the U.S., the March launch of Heinz Seriously Good Mayonnaise was able to help us grow our business and our market share in every market where we have put it on the shelf. These Big Bets and new products are critical for us given the consumption headwinds in a number of markets and in a number of key categories. As an industry we are in an environment where retail competition is intensified in our biggest and most mature markets, including the United States, Canada, the U.K., Continental Europe and Australia. Nowhere this is more true than the U.K. where key category declines have been at significant drag in the first half even though our market share trends have been improving. In this market, we must remain disciplined with our go-to-market activities, constantly balancing price, promotion and distribution while we innovate to build our brands and drive profitable growth. And as we have seen, this sometimes leads to a bumpy ride on a quarter-to-quarter basis. But our biggest challenge remains the fact that you continue to have a number of categories where consumption trends are working against us. And while we're making progress against those opportunities and expect better performance going forward, our organic sales growth during the first half of the year was held back. Specifically in two of our biggest segments, we were down on an organic basis. Down roughly 1% for the first half in the United States, and down 3% in Europe, resulting in 0.3% total company organic growth for the first six months. So as far as top line goes, like I said, okay, not great. In terms of our second objective to achieve best class in margins, we have made significant progress in the first six months of the year with adjusted EBITDA growth of nearly 20% or just over 25% on a constant currency basis. These have been driven by a combination of savings for our integration program, commodities favorability in North America, as well as a strong organic sales growth in the Rest of the World segment. In terms of our integration program, we delivered roughly $300 million of savings in Q2. But I am even happier to report that in Q2 we put the critical step behind us, one of the more risky activities we had in our agenda, that was the integration of the legacy Kraft and the legacy Heinz front office SAP models in North America. So now we are one face to our customers as a system-integrated company and we did this while keeping our K-through rate (6:55) United States on target at 98%, with minor service issues in food service already addressed. In fact, we had very good execution around the world in Q2. With Europe remaining above its K-through rate (7:09) target at more than 99%, Canada at 97% and our Rest of the World segment for the first time above 96%. Importantly, none of this would be possible without bringing our performance driven culture to life. I know that on our last call that our Manage by Objectives, our MBO process, now covered roughly 6,000 employees worldwide. In Q2, we took another important step, launching our Ownerversity, a new global learning platform to support our culture, accelerate our vision and values and help employees constantly delivering on our MBOs. Kraft Heinz Ownerversity provides consistent training foundation across the organization. Last but not least, as part of our third objective, we have taken significant further actions to deliver a superior return of capital and continue to strengthen our balance sheet. As you may have seen during Q2 we closed the redemption and refinancing of our preferred stock, an important step in strengthening our investment grade credit standing. In fact, with our Q2 results, our leverage ratio is now just below four times EBITDA based on our latest 12 months of results and are on our way to achieving the goal, three times ratio we were targeting over the middle term. And finally, as we saw today, our board of directors set a 4.3% increase in our quarterly dividends to $0.60 per share. So overall, we have made meaningful progress against the objectives of our strategy that will help lay the foundation for better execution and profitable growth going forward. Let's now turn to slide three to see what that means for Q2 financial results. On the top line, similar to Q1, we saw a foreign exchange drag of 4%. On an organic basis, however, net sales were down 0.5%. Pricing was up 1.6 percentage points, reflecting gains in all regions but Europe. And despite deflation in key commodities in the United States and Canada, primarily in dairy and coffee. Volume/mix fell 2.1 percentage points, as lower shipments, particularly meat and food service in the United States more than offset gains from innovation in Lunchables and P3 in the U.S. and solid volumes of condiment and sauces globally. And EBITDA we drove the strong dollar growth and margin performance both year-over-year and sequentially from Q1, despite the Venezuela devaluation impact that began in Q3 2015. This was driven by a combination of, one, our strong cost savings performance, favored pricing relative to key commodity cost over the prior period and profitable top line growth. At the EPS line, adjusted EPS was up 39.3% versus the prior period to $0.85, reflecting the leverage of our strong adjusted EBITDA growth playing through the P&L. Now I will hand it over to George and Paulo to talk more about how we did it in each reporting segment and what to expect going forward. George?
Georges El-Zoghbi - Chief Operating Officer: Thank you, Bernardo, and good afternoon, everyone. Let's turn to slide four for a quick update of our performance in the United States. If you recall at the start of the year, I described one of our goals as delivering stable top line performance during a year of significant transformation. And so far that's what we have done. We've been able to maintain solid momentum in the marketplace in a number of categories that we placed Big Bets on with new products and/or advertising support. This includes Heinz sauces, which grew at mid-single digits, driven by the introduction of barbecue sauce, year two of mustard and the share growth of ketchup; Philadelphia Cream Cheese, ready-to-eat refrigerated desserts; and Lunchables, which are all growing at mid- to high-single digits. However, these gains were more than offset by weak consumption trends in categories like roast and ground coffee, frozen nutritional meals and hot dogs. On one hand there are no new major categories that I would add to this list. On the other hand, we do need to move faster to adjust in the marketplace and ensure that these challenging categories do not mask the successes we are achieving with our Big Bets innovations and investments in marketing. Our new product initiatives for 2016 are working well, particularly the renovation of Kraft Mac & Cheese and Capri Sun ready-to-drink organic beverage, the introduction of Heinz Barbecue Sauces, and the introduction of Cracker Barrel Mac & Cheese. The second factor I would highlight is that our Q2 shipments were consistent with measured channels consumption, in line with our expectation from our last call. And you may have seen recent SCANA data was affected by the timing of the 4th of July holiday versus the prior year. Adjusting for that, our consumption would have been down roughly 2% in the second quarter. So shipments were essentially in line with consumption. I would also note that we continue to add new business, or whitespace, in both food service and non-traditional retail channel during the second quarter. However, food service was down versus prior year in Q2 due to program timing with customers, incremental commodity-related price decline as well as minor service level problems during the quarter. Which brings me to our integration program execution. During the quarter, the bulk of our integration activity shifted to supply chain and operations activities, including an SAP integration go-live, which was completed in the quarter. Thus far, our service levels remain good for most of our product groups, with some challenges in the cold cut segment of our meat business as well as minor disruptions in food service in the month of May that was quickly corrected. Overall, as Bernardo mentioned, our savings are coming in faster than planned; and we are achieving these savings without sacrificing quality. For the balance of the year, our key objectives will be two-fold. First, we must continue to execute our footprint integration while minimizing disruption. Second, we will step up our in-store activity, including a strong agenda of new product introduction we have planned for the second half. Look for new product introductions in our desserts, cheese and frozen categories in the months ahead, which follow the rollout of our new Devour frozen meal this past month. As I hope you can see, it is an exciting time for Kraft Heinz in the United States. Our plate is full, and our opportunity for profitable growth is significant. Our job is to deliver in the marketplace. With that, I'll turn it over to Paulo to wrap up our comments.
Paulo Luiz Araújo Basílio - Chief Financial Officer & Executive Vice President: Thank you, George, and good afternoon, everyone. I will start on slide five and add a few notes on Q2 financials in the U.S. With organic growth pricing was up 1.2 percentage points, primarily due to lower promotional activity versus the prior year and despite a headwind from deflation in key commodities. Volume/mix fell 3.1 percentage points, reflecting ongoing gains from innovations like Lunchables and P3, and strong volumes from our Mac & Cheese renovation that were more than offset by lower shipments in key categories but strongest in food service and, as George noted, in our meats category. In terms of adjusted EBITDA and margin expansion, as mentioned in our Q1 call, this was driven by integration program savings and, to a much lesser extent, favorable price relative to lower key commodity costs. While it was being seen the benefit of pricing relative to key commodity costs for the past couple of quarters, we continue to expect commodities favorability to fade as we move forward. Let's turn to slide six where the key factors impacting Canada in the second quarter were essentially the same as what we saw in Q1. We still saw strong currency headwinds, but the negative 5 percentage point impact from currency in Q2 was half that seen in Q1. Organically, we were able to deliver net sales growth from pricing gains exceeding the related decline in volume/mix. Positive pricing of 3.1% was the result of significant pricing to offset higher product costs in local currency, and this more than offset pricing headwinds related to deflation in select key commodities. Volume/mix went down 1.9 percentage points, primarily from a decline in cheese due to a reduction in promotional activity versus Q2 last year as well as lower coffee and ready-to-drink beverage shipments. Adjusted EBITDA was up 27.2% versus the year-ago period, despite a negative 7.2 percentage point impact from currency. Adjusted EBITDA growth was driven by gains from cost savings initiatives and favorable timing of pricing relative to higher local input costs that were partially offset by unfavorable volume/mix. Similar to Q1, we saw a lot of EBITDA favorability this quarter in Canada. However, I would note that some of the upside was driven by favorable timing of pricing versus local input costs. Moving forward and with official raw milk prices now on the rise in Canada, we would not expect the commodity favorability in the first half of this year to show up in coming quarters. That brings us to Europe on slide seven. On our last call, I said that we felt better about the health of our European business than our Q1 numbers might indicate, specifically in terms of profitability. On the Q2 top line, as we saw with Q1 versus Q4, organic net sales growth was again better on a sequential basis. Organic net sales were still down, and down largely due to an increase in promotional activity in U.K. condiments and sauces versus the prior-year period. But our volume/mix trend kept improving, reflecting gains from condiments and sauces in most countries that were offset by lower shipments versus the prior year in the U.K. At the same time, while constant currency EBITDA in Europe was down slightly versus prior year, margins were up, both sequentially and versus the prior year. This was driven by a mix of manufacturing savings, lower pricing and an increase in market investments. So while we are not all the way out of the woods, the health of our European business is indeed better than our Q1 numbers might have indicated, and we are continuing to invest in profitable growth as we move forward. Finally, we will look at the Rest of the World on slide eight. Here, foreign currency was again a significant headwind, roughly 24%, mainly due to recognizing the devaluation of the Venezuelan bolivar at the end of Q2 2015. In terms of organic growth, we saw high-single digit organic net sales growth, driven by a good balance of volume/mix and pricing. Pricing of 5% was mainly driven by pricing to higher local input costs in Latin America. Volume/mix was up 2.1 percentage points, primarily due to strong growth in condiments and sauces in all regions. As to EBITDA, we saw an 8.8% decline in adjusted EBITDA to a negative 34.5 percentage point impact from currency, 27.5 percentage points of which was from the Venezuelan bolivar devaluation. Constant currency adjusted EBITDA was up strongly in Q2, driven by strong organic growth. That covers our Q2 results. And before we go to the Q&A, I want to quickly update our expectations for financial performance over the near to medium term. From an organic sales perspective, I think it's important to echo Bernardo's and George's thoughts. That is, we would expect from both an industry perspective and a Kraft Heinz perspective that consumer trends in an increasingly competitive retail environment are likely to remain headwinds in both North America and Europe. We remain confident in our pipeline of Big Bets, and we continue to lay the groundwork for whitespace expansion of Kraft and Heinz brands in both food services and international channels. However, as you have all seen, our starting point in most mature markets is declining consumption. And therefore, we have much work to do to simply get back to positive organic sales growth. As far as our integration program, all of our targets remain the same: savings and cost to achieve. And we are still targeting integration program savings of $1.5 billion net of inflation in 2017. Below the line, the redemption of our preferred stock and related financing with new debt is expected to benefit EPS growth in the second half. As a result of the new debt issuance at today's currency rates, we expect our run rate net interest expense to be approximately 3.8% of the roughly $33 billion of gross debt outstanding at the end of Q2. So that's our update through the second quarter of 2016. We still have significant work ahead to realize our potential and set the stage for profitable growth in the future. We have a strong Big Bet pipeline with a strong agenda for the second half, and further whitespace opportunities to go after. At the same time, our footprint integration activity is expected to reach its peak in the second half of the year as well. And as we've said before in many ways, we've benefited so far by a lack of business disruption. Making sure that remains the case will be a key area of emphasis for the remainder of the year. So while we have had a solid start to the year, we must continue to execute well against the many opportunities we have to deliver profitable growth. Thank you. And now we'd be happy to take your questions.
Operator: Thank you, sir. Thank you. Our first question comes from the line of Alexia Hollis (sic) [Howard] (26:15) of Bernstein. Your line is open.
Alexia Jane Howard - Sanford C. Bernstein & Co. LLC: Good evening, everyone.
Bernardo Vieira Hees - Chief Executive Officer: Good evening.
Paulo Luiz Araújo Basílio - Chief Financial Officer & Executive Vice President: Good evening, Alexia.
Alexia Jane Howard - Sanford C. Bernstein & Co. LLC: Can I ask you about your revenue management practices, what you've found out so far, what innings you're in with that? It's something that everybody is talking about across the industry, as you optimize promotional spending and price points. Is there a lot more in there? And linked to that, I'm getting from investors that people are worried that the relationship with the retailers may be weakening as you pull back on some of that promotional activity. How do you respond to that at this point? Thank you, and I'll pass it on.
Georges El-Zoghbi - Chief Operating Officer: Thank you, Alexia. This is George here. I'll take these questions. First, if you're wondering which inning we are in, we are in the pregame. So what we have done in revenue management, we have established the infrastructure to manage across 30 to 40 categories in the U.S. What you have seen so far is not what we have realized from revenue management. This is yet to come. What you have seen so far, some improvement due to minimization of negative ROI promotional activities. And not going into large, deep discounting promotional activity. Also what you have seen probably, the availability of merchandising has reduced at retailers, which means the average price per pound has gone up. So that's what you have seen. The relationship with retailers is very strong. We work as straight partners, because we're both in the industry here to serve the consumers that is changing rapidly.
Alexia Jane Howard - Sanford C. Bernstein & Co. LLC: Great. Thank you very much. I'll pass it on.
Georges El-Zoghbi - Chief Operating Officer: Thank you, Alexia.
Operator: Thank you. Our next question comes from the line of Jon Feeney of Consumer [Edge] Research. Your line is open.
Jonathan Feeney - Consumer Edge Research LLC: Good evening. Thanks very much for the question. Kind of a follow-up question. I wanted to ask how you measure returns on investment on the promotional activity you're speaking of, this reduced promotional activity. Because presumably there's a loyalty algorithm, where you generate repeat behavior, future periods. Whether in some of your more commodity influenced categories, like meat or the portfolio more broadly. But we've read and heard at a recent conference how loyal usage is down. And that might alter that math. So I'm wondering how you think about that repeat behavior and that future, those future potential maybe habitual dollars you might get, or you might lose by managing down those promotional opportunities. Thanks.
Georges El-Zoghbi - Chief Operating Officer: Jon, thank you for your question. George again. I will take this question. Really there are a number of variables, and they're not the same by category. It depends on our position, whether we are the market leader, and how we measure our relative market share, the brand equity strength, and the ability to price, and the relative market share to other competitors in the market. That's one piece driven by consumer demand. And the second piece is our profitability posture. And depending on where commodity pricing at. So it is not one thing that fit all. It depends on a number of variables.
Jonathan Feeney - Consumer Edge Research LLC: But – thank you. But I guess in your management of promotion, George, would you have done the same thing with this portfolio five years ago as far as managing those promotions? Or is it variables that have changed in the marketplace recently that are leading you to maybe, say, that you have a negative ROI on what were perhaps positive ROI promotions before? I'd just like to understand that.
Georges El-Zoghbi - Chief Operating Officer: No, the difference between now and five years ago is consumers' attitude towards brands and category has changed significantly. And the availability of merchandising has reduced. So you wouldn't have done these things five years ago. So – and that's not due to the way we operate or we measure promotion, rather due to the changes around us in the marketplace.
Jonathan Feeney - Consumer Edge Research LLC: Thank you. That's very helpful.
Georges El-Zoghbi - Chief Operating Officer: Thank you.
Paulo Luiz Araújo Basílio - Chief Financial Officer & Executive Vice President: And, George, just to add, I think you answered very properly the question here of Jon and Alexia. I just wanted to add, when you talk about revenue management, I think it's important to understand that that's the tool in connection to a lot of things that are happening in the marketplace. So it's never in itself in isolation. You're going to be looking at promotions, but you look at market share, you look at innovation, you look at the relationships, things you want to do to build the long-term of the brand. So for sure, we will be looking how we can manage our portfolio the best way possible. In that sense, the revenue or management piece is an important tool in the middle of several other ones. So I highly recommend you don't think about revenue management in isolation because it's never the case that we run the business anywhere.
Jonathan Feeney - Consumer Edge Research LLC: Thank you.
Operator: Thank you. Our next question comes from Andrew Lazar of Barclays. Your question, please.
Andrew Lazar - Barclays Capital, Inc.: Good afternoon.
Bernardo Vieira Hees - Chief Executive Officer: Hi, Andrew.
Andrew Lazar - Barclays Capital, Inc.: Just two things for me, I guess. First, I think you mentioned $300 million in synergies in the quarter. I guess on an annualized basis at $1.2 billion, but correct me if I'm wrong that you still have the bulk of the manufacturing synergies still to come, I guess, starting in the second half. So just trying to get a sense if the $1.5 billion you are pointing to starts to seem increasingly conservative or not based on some of the numbers I laid out.
Paulo Luiz Araújo Basílio - Chief Financial Officer & Executive Vice President: Hi, Andrew, thanks. This is Paulo here. Right, we are just over $300 million in savings for the second quarter and again, if you annualize this number, you are going to get to roughly $1.2 billion which is around 80% of our current target for 2017 for $1.5 billion. The majority of the org and ZBB savings, they are already implemented although we are still expecting some more savings coming from the ZBB bucket. And again, going forward the majority of the savings that we expect for our plan will come from the footprint initiative that we have. That being said, I think it's important to keep in mind that these savings they should also offset the expected inflation that we have for the following year. Our target is $1.5 billion net of inflation for 2017. And again, we will continue to update our expectations every quarter but no change in our estimates so far.
Andrew Lazar - Barclays Capital, Inc.: Thank you for that clarity. And then I think last quarter you helped at least to dimensionalize the magnitude of the P-NOC (33:59) favorability in the first quarter. And I was wondering if there was a way you could help us a little bit maybe try and quantify that a bit in terms of how favorable that was this quarter as well?
Paulo Luiz Araújo Basílio - Chief Financial Officer & Executive Vice President: No, sure. When you think about our North America EBITDA growth, our North America EBITDA grew around $350 million. Again, just over $300 million came from the saves initiatives and the rest pretty much is coming from commodity favorability in the second quarter.
Andrew Lazar - Barclays Capital, Inc.: Thank you very much.
Paulo Luiz Araújo Basílio - Chief Financial Officer & Executive Vice President: You're welcome.
Operator: Thank you. Our next question comes from Bryan Spillane of Bank of America. Your line is open.
Bryan D. Spillane - Bank of America Merrill Lynch: Hey, good afternoon. Just wanted to follow up the comments you've made about how challenging the environment is and declining consumption. So I guess can you talk about how that might affect your planning over the next year or two versus originally in terms of where you reinvest or how much you reinvest? And then second, does it have any effect at all as you look out further and maybe other potential acquisitions, does it at all affect the way you are thinking about the returns in these markets given that declining consumption looks like it's going to be with us for a while? Thanks.
Georges El-Zoghbi - Chief Operating Officer: Thank you, Bryan. I will answer your question on the environment and I will pass it on to Bernardo to follow up the second part of the question. The challenging environment is nothing new. However, it accelerated a little bit over the past 12 months or so. And the way we are dealing with that is by investing more in new product development program in line with where consumer trends are now, and where they are going in the future. And we're increasing our investment and supporting our big brands. This is the best way to deal with consumer. The one thing we're not doing is throwing money to try to get quick sales. We are resisting that temptation, and we believe it's better for us in the long term to invest in sustainable growth. As for the second part of the question, I'll pass it on to Bernardo.
Bernardo Vieira Hees - Chief Executive Officer: Thanks, Bryan. I think the second part of your question about if that change or – and how this correlates to M&A there, I think George answered very well. We're excited about the perspective of the business. We have a lot to do here and it's still to fix some categories, to put more wood on the fire in a lot of categories, and to really push our agenda of profitable growth. In respect to M&A, we really don't comment on the speculations and hypotheticals. As Paulo mentioned, our integration is going well but we still have important milestones to be overcome in the next 6 months to 12 months. But we're always going to be looking for further opportunities, but outside that we really don't comment.
Bryan D. Spillane - Bank of America Merrill Lynch: Okay. But safe to say that the environment hasn't changed your perspective on value creation in this industry?
Bernardo Vieira Hees - Chief Executive Officer: No, it's not. We believe with and without acquisition we have a lot of value creation to be created in this business.
Bryan D. Spillane - Bank of America Merrill Lynch: That's great. Thank you.
Operator: Thank you. Our next question comes from Michael Lavery of CLSA. Your question, please.
Michael Lavery - CLSA Americas LLC: Yeah. I was wondering if you could just touch on innovation a little bit and two things in particular. One, some of these Big Bets, how many of those are legacy from, say, Kraft's pipeline pre the deal or have come to market since the acquisition from scratch? Just trying to get a sense of timing and how the approach works. And then just related to that a little bit, how do you think about when you do introduce a new brand versus an existing one like the (38:26) what caused you to think that it made sense to launch a new brand and the spending related to that as opposed to using one of the ones that you might have had already?
Georges El-Zoghbi - Chief Operating Officer: Yeah. Thank you for your question, Michael. A number of promotion – a number of new products started in the past 18 months, usually the cycle that it takes to do a new product and we have a stage and gate approach that we can sometimes accelerate and sometimes get project to drop off. That's the process that we have used. The Big Bets that we launched this year, they were in the former companies independently worked on, and we launched them in the Q1 and Q2. They weren't affected by any disruption from the integrations. The three big ones for us this year have been the Heinz Barbecue Sauces, which was launched early this year and it's doing very well. The Cracker Barrel Mac & Cheese, also another premium one, selling at a significant premium to the Kraft Mac & Cheese and it is our best-selling one out of the new product development. And Capri Sun Organic. To put something like this it takes – it takes at least 12 months, so they all started pre and during – and worked on during the merger. We also launched a new brand called Devour, just launched it in the marketplace in frozen meals segment. And that was done about two months ago. And that was project that we started in late last year, so that happened after the merger. And we got to launch the brand and we're very excited about providing a big marketing support to launching that new brand. So the reality is some of them started before, some of them started after, none of them were affected or disrupted by integrating the two businesses together.
Michael Lavery - CLSA Americas LLC: Have you had an ability to accelerate the launches just by removing some of the layers of management or by working with a leaner organization?
Georges El-Zoghbi - Chief Operating Officer: Sure. You always have a faster decision making in an organization like ours.
Michael Lavery - CLSA Americas LLC: Thank you very much.
Georges El-Zoghbi - Chief Operating Officer: Thank you for your question.
Operator: Thank you. Our next question comes from the line of Robert Moskow of Credit Suisse. Your line is open.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): Hi, there. You've mentioned several times the risk of business disruption during the supply chain integration. And it comes to mind Oscar Mayer in particular for me, because I know that that closure in Wisconsin is particularly sensitive. And then you said cold cuts, I think there was some kind of disruption on cold cuts. And I just wanted to know if you could tell me specifically where you're at in migrating that manufacturing? And what caused the disruption? And what you're doing to work your way through it?
Georges El-Zoghbi - Chief Operating Officer: Thank you, Rob. First, I'm pleased to tell you that our service rate across Kraft Heinz in the United States has been really good. It's in the 98% CFR. We have the isolated issue in the cold cuts, where the demand and capacity are not matching during the footprint. And we would be over it very soon, and it's affecting our sliced meats business. So we know what needs to be done. It's a capacity thing. And as we have new lines coming on-stream, that would be resolved over the longer term. So it is not something that will persist with us for a long period of time. We believe that the rest of the portfolio is in very, very good shape, some of the best CFRs I've ever seen in the rest of the portfolio.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): Okay, George. Can I ask a follow-up? I thought I heard several months ago that you were working on trying to improve manufacturing processes in cheese, so that you could provide retailers and consumers with fresher processed product, so it might taste better. Did I get that right? And I haven't heard much about it on the calls. And is there anything out there that's improving the quality of product that you have out there?
Georges El-Zoghbi - Chief Operating Officer: Yeah, Rob, you may be referring to the Farm to Fridge Fresh in Six Days on the Philadelphia farm fresh campaign that we did. We put new technology. And we renovated a product segment over a year ago. And we are very, very pleased with the performance of this brand. It's sustaining a mid- to high-single digit growth, gaining market share from its already strong position. So that's one of the technologies. And we are putting new technologies on the other range to freshen up the product. But that's the one we referred to in previous call.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): Okay. So there could be more to come in other lines within cheese?
Georges El-Zoghbi - Chief Operating Officer: Well, not just within cheese. We keep looking at every category within our portfolio and see what is it that we can do to improve the quality of our product and make product that consumer really want to consume.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): Okay, great. Thank you.
Georges El-Zoghbi - Chief Operating Officer: Thank you, Rob.
Operator: Thank you. Our next question comes from Jason English of Goldman Sachs. Your line is open.
Jason English - Goldman Sachs & Co.: Good afternoon, folks. Thank you for the question. Two questions, if I may. First, on some of the problem children that you cited in the press release – or not in the press release, in some of the prepared remarks. I think you said ground coffee, some of your processed meat and frozen meals. You've given us innovation on frozen meals. You've given us some supply chain fixes on the processed meat side. Can you talk about what the planned fix, if anything, is on the ground coffee side?
Georges El-Zoghbi - Chief Operating Officer: Yeah. Thanks. Thanks, Jason, for the question. Coffee, I always like to break down coffee into a number of segments, because we are seeing a tale of two worlds in coffee. One is the roast and ground coffee, and two is the pods coffee. The pods is a very healthy business. And it's been growing now for years. However, the growth has subsided a little bit. It moved from the double-digits that we all used to see to mid-single digit growth. And that is a very healthy category. And as you know, we innovated greatly in this category over the past few years. And we continue to do so. In roast and ground, the category has been in persistent decline for quite some time, as consumers are moving into the more premium and the pods business. The way we are dealing with this, we will bring some innovation to this category. But the bigger innovation is coming from pod. So that's where we think the growth will continue in the future.
Jason English - Goldman Sachs & Co.: Okay. That's helpful. So effectively, category is migrating, you're going to migrate with it and just kind of suck it up on roast and ground. I think that's a fair paraphrasing. The next question is on international. You've given us some details in terms of your Big Bets and you foreshadow – or you talked about one that's going to market now. There's been chatter of Planters going to China, chatter from the retail community in Brazil of heavy up-investing coming from you guys down there to support innovation. Can you give us a little walk around the world of what you've been able to do so far with Kraft brands abroad?
Bernardo Vieira Hees - Chief Executive Officer: Yeah. Hi, Jason. It's Bernardo. I can answer this question. I think you're right. With 2016, we always said and continue to believe in the near that we are – we establish ourselves through the Kraft brand, establishing the supply chain, getting the foundation right so we can really push to the next steps 2017 and beyond. That being said, it's a reality today that Planters and Mac & Cheese in the U.K., that we're able to launch at the end of the first half and continue to gain distribution through the system in the U.K. I have Planters with solid plans to arrive in China still this year. I have Mac & Cheese with solid plans to arrive in Brazil still this year. And I have a couple of other markets in Middle East and Europe that are focused on part of this – of this portfolio. Like we always said, we wanted to select fewer but big brands and segments in about 8 countries to 10 countries to establish ourselves in the next two years to three years in a big way and we continue to follow this path.
Jason English - Goldman Sachs & Co.: Great. I really appreciate the incremental color. I'll pass it on.
Operator: Thank you. Our final question for the session comes from Steve Strycula of UBS. Your line is open.
Steven Strycula - UBS Securities LLC: Good afternoon. Quick question on cash flow, wanted to get an idea of, I think, this year is the peak CapEx year for yourselves, I was just wondering how should we think about with the majority of the footprint action being made this year, should we expect a step-down next year?
Paulo Luiz Araújo Basílio - Chief Financial Officer & Executive Vice President: No, that's correct. We expect the majority of the CapEx initiatives from fruit remains (48:41) to be executed during the 2016.
Steven Strycula - UBS Securities LLC: Okay. And then a quick follow-up question. When we think about the combination of Kraft and legacy Heinz, each asset base brings its own distinct qualities and functionality. I would like to know what you guys think longer term in terms of strategy, what makes the most incremental sense? Is it international distribution? Is it more U.S. cash flow? Is it exposure to faster growing categories? What do you think the portfolio needs from here?
Bernardo Vieira Hees - Chief Executive Officer: Hi, Steve. Look, I don't think it's one or the other, right? I think George mentioned the (49:25) I was talking about expansion. We saw the best performance in the second quarter in Europe even in the first quarter even not being where we wanted to be. But when you see your question and given the footprint you have from a manufacturer's standpoint, I think we can believe and to the categories you operate that we can't push profitable growth through – in mature markets like U.S., Canada, Europe and also in more emerging markets in whitespace opportunities like Brazil, Russia, China and others. So I wouldn't select one or the other. I think after the footprint activity, especially United States and Canada, we will have the capabilities given the investment we are making to really push an agenda of profitable growth so the market can be expanded and our supply chain will be able to cope with that.
Steven Strycula - UBS Securities LLC: Great, thank you.
Operator: Thank you. At this time, I would like to turn the call over to Chris Jakubik, Vice President of Investor Relations, for any closing remarks. Sir?
Christopher M. Jakubik - Vice President-Investor Relations, Kraft Foods Group, Inc.: Thank you and thanks, everyone, for joining us today. For the analysts who have follow-up questions, Rishi Natarajan and myself will be around to take them. And for anyone in the media who has follow-up questions, Michael Mullen will be available. So thanks once again and have a great evening.
Bernardo Vieira Hees - Chief Executive Officer: Thank you all, I appreciate it.
Paulo Luiz Araújo Basílio - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Ladies and gentlemen, that does conclude your program. Thank you for your participation and have a wonderful day.